Operator: Greetings and welcome to the Calix Q2 2016 Earnings Conference Call. At this time, all participants are in a listen-only-mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host Mr. Tom Dinges. Thank you, you may begin.
Tom Dinges: Thank you, Operator, and good afternoon everyone. Today on the call, we have President and CEO, Carl Russo, as well as Executive Vice President and Chief Financial Officer, William Atkins. This conference call will last approximately 60 minutes and will be available for audio replay in the Investor Relations section of the Calix website. Before we begin, I want to remind you that in this call we refer to forward-looking statements and actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause actual results and trend to differ materially are set forth in today's earnings press release and in our Annual and Quarterly Reports filed with the SEC. Calix assumes no obligation to update any forward-looking statements which speak only as of their respective date. Also on this conference call, we will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release available on our website. Unless otherwise noted, all numbers referenced in today's conference call are non-GAAP. As a reminder, our earnings press release, supplemental financial data, and an accompanying earnings release presentation are available in the Investor Relations section of the Calix website. For the quarter ended June 25, 2016, Calix reported revenues of $107.4 million and a non-GAAP loss of $0.04 per share. In just a moment, William will take you through the quarter in greater detail. And Carl will conclude his thoughts on Calix strategy and market outlook. This will be followed by questions from analysts. With that, I would now like to turn the call over to Calix's Executive Vice President and Chief Financial Officer, William Atkins. William?
William Atkins: Thank you, Tom. We last provided you with guidance regarding Q2 on May 3. And in that guidance we called for revenue between $104 million and $108 million. Our gross margins are between 46% and 47% and operating expenses in a range of $52 million to $53 million, including approximately $2.4 million of Occam litigation expenses. Thus resulting in a net loss per share of between $0.09 and $0.05 or $0.04 to breakeven if Occam litigation expenses had been excluded. Relative to that guidance, our actual revenue for the quarter was $107.4 million and EPS was a loss of $0.04 per share including litigation expense or a profit of $0.02 per share excluding litigation expense with revenues at the upper end of guidance and the loss per share above the top end of guidance. Gross margin was 47.5% and operating expenses came in at $53million, which includes $2.8 million in litigation related expense. At the gross margin level, the largest drivers were favourable product and customer mix, partially offset by costs associated with the continued ramp of our previously announced turnkey network improvement project. Operating expenses included higher than expected legal expenses, and investments in R&D to support anticipated growth but nevertheless came in line with our guidance. A continuing focus on collections and working capital management resulted in positive operating cash flows of $0.1 million. Our aggregate balance of cash and marketable securities was flat sequentially at $64.2 million from $64.3 million in the prior quarter, primarily due to annual employee share purchase plan activity and better than expected operating cash flow, offset by capital expenditures of $1.6 million. Getting into a bit more of the detail, our $107.4 million in revenue for the quarter showed an increase of $8.3 million or 8.4% from last year’s second quarter level of $99.1 million. This is the second consecutive quarter when we have shown greater than 8% year-over-year growth, the first time in three years that we have demonstrated top line growth at these levels. At 7.7% of our Q2 revenues, international revenue was $8.3 million up just under $1 million in absolute dollars from its $7.5 million or 7.5% level in Q2 of last year. We had two 10% or greater customers this quarter. This marks the second consecutive quarter when we recorded more than one 10% or greater customer and it is the result of our focus on the increasing penetration of larger accounts. As I noted earlier, at 47.5% Q2 gross margin was above the upper end of our guidance range. This gross margin in Q2, 2016 was nevertheless down from Q2, 2015s 51% level, with this decrease driven in part by less favourable product and customer mix as well as the cost associated with the previously mentioned turnkey network improvement project. Q2 operating expenses at $53 million were up $5.7 million from the same quarter a year ago. With this year-over-year increase, primarily due to additions in headcounts, particularly in research and development and by litigation costs. We continue to invest in R&D to support our systems and software platforms to capitalize on the significant growth opportunities we are starting in 2016 and beyond. As we mentioned last quarter, in 2015 we launched the largest number of new systems and platforms in the company's history. So far in 2016, we are seeing solid momentum from these launches. Expenses related to the Occam litigation amounted to $2.8 million or $0.06 per share in Q2 2016 compared to $150,000 essentially $0.00 per share in Q2, 2015. This was higher than our guidance for $2.4 million as we incurred higher than estimated litigation expenses for trial and completion of the settlements agreement, which we submitted to the court for approval at the end of May. As previously disclosed, under the terms of the settlement, neither Calix nor any of its Directors or Officers contributes any payments of the settlement. Indeed, Calix will receive $4.5 million in cash as partial recovery of costs incurred, equivalent to $0.09 per share. This cost recovery partially offset the $9.5 million in out of pocket Occam litigation expenses incurred to date. We expect to recognize this $4.5 million reimbursement to Calix in Q3, based on our expectation of court approval of the settlement agreement in Q3. At this stage of the year, it’s worth pausing to review how Calix performed over the first half of 2016 relative to the same period last year. First half 2016 revenues increased by $15.6 million to $205.8 million, or up 8.2% from last year’s $119.2 million level. This has been our strongest first half growth since 2013. Gross margins came in at 47.8% for the first half versus 2015s first half number of 50.1%. Operating expenses increased by $9.2 million to $104.7 million versus 2015s first half level of $95.5 million. After deducting Occam litigation expenses of $6.2 million in 2016 and $1.9 million in 2015, the first half operating expense figure would have increased by $4.9 million to $98.5 million from last year’s $93.6 million level. First half 2016 earnings per share were a loss of $0.13 versus last year’s first half EPS of breakeven or $0.00 per share. Excluding Occam litigation expenses, first half 2016 earnings per share were breakeven or $0.00 per share versus last year’s first half EPS of $0.03 per share. Turning now to the balance sheet. As noted earlier, we ended the quarter with total cash and marketable securities of $64.2 million, flat from Q1, and a decrease of $35.3 million from last year’s Q2 level. The primary driver in the year-over-year decrease in cash was our $40 million share repurchase program, which was completed during Q1, 2016. Receivables DSOs were healthy 36 days, down 2 days compared to the previous quarter and down 1 day from the 37 days in Q2, 2015. The overall quality of our receivables and our collections performance remains strong. Inventory levels decreased to $40.8 million in Q2, down from Q1's $41.1 million level and essentially flat from $40.7 million in Q2, 2015. With the revenues rising at a strong pace, both year-on-year and sequentially we are pleased by our teams performance and managing working capital. Inventory turns increased to 4.5 times in Q2 from 3.9 times in Q1 and also increased from Q2, 2015 4 times. Now let me turn to guidance for the third quarter of 2016. We expect revenues to be in a range of between $115 million and $119 million, with the midpoint of $117 [ph] million, up 4% from the quarterly record $112 million level of Q3, 2015. At the mid-point of guidance, nine months 2016 revenues would increase by 6.7% year-over-year. This will be the first year since 2013 that our first nine months revenues are expected to grow at this strong a pace relative to the prior year period. We are guiding gross margin to a 45.5% to 46.5% range from Q3, down from last year’s Q3 level of 49.3%. With this decline, relative to Q3, 2015 largely driven by the continued ramp of turnkey network improvement projects as well as by our expectation of slightly less favourable product and customer mix relative to Q3, 2015. As we’ve mentioned on previous calls, these key projects are strategic for both the company and for our customers and we are accelerating activity in Q3 and Q4.This will put some near term pressure on our gross margins as these activities accelerate. In terms of operating expenses we expect to recognize the recovery and the settlement of the Occam litigation, which remains subject to court approval in Q3. Based on the accounting treatment, the settlement will be reflected as an offset to operating expenses as it is a partial recovery of non-reimbursed litigation expenses incurred through Q2. This entry will be reflected in both our GAAP and non-GAAP results in the amount of $4.5 million or $0.09 on a per share basis. Therefore we expect operating expenses including the Occam litigation settlement to be in the range of $48.5 million to $49.5 million. Excluding the settlement proceeds, we expect operating expenses to be in the range of $53 million to $54 million, up from last year’s Q3 level of $46.6 million with the increase reflecting incremental hiring costs to support our growth initiatives. Based on 49.1 million diluted shares, the expectations that I’ve just finished taking you through results in a guidance range for Q3 of a net profit of $0.08 to $0.12 on a per share basis or a loss of $0.01 to a positive profit of $0.03 per share excluding litigation settlement proceeds. We also anticipate negative operating cash flow in Q3. At this point, let me hand the call over to Carl. Carl?
Carl Russo: Thank you, William. While there is a lot of exciting news to discuss, I would like to begin with our goal. Predictable, profitable growth. Q2 was another strong quarter as we backed up last quarter’s 8% year-over-year growth with another 8% growth quarter. Keep in mind the words predictable, and profitable are modifiers of the most important word, and that is, growth. Our number one focus is to increase our rate of growth and we have been clear throughout that from time to time it may be necessary to push on the OpEx levers to achieve our goals. Our guidance for Q3 is indicative of such. Over the last few years we have made deliberate [ph] investments in research and development to achieve strategic effect. And you can now get a glimpse of what we have been pursuing. Our Compass Cloud continues to allow our customers to target their infrastructure investments for maximum return all the while reducing the operating expense of delivering winning services. When combined with our GigaCenter family of premises [ph] products, Compass Cloud is enabling our customers to deliver an unparallel subscriber experience, thereby decreasing churn and increasing the ability to market new services. Our AXOS platform continues to make strong progress. Last quarter, I reported that it had been deployed in over 20 service providers. I am pleased to report that our growth in AXOS is accelerating and our AXOS platform is now deployed in over 50 service providers. The core attributes of AXOS is fast, always on, and simple, are clearly differentiable and are proving to be critical to our customer’s success. For competitive reasons, I will no longer report on the actual number of deployments going forward, however, as you have read in recent announcements the trend is clear, AXOS is a winner and others are taking note. As an example, AXOS was recently named a winner of the Light ratings best SDN Product Strategy award and the excitement continues. Just two weeks ago, Verizon announced that our AXOS NG-PON2 solution would be going into lab trials. The revolutionary AXOS platform,, combined with a revolutionary technology NG-PON2 allows our customers to build the ultimate unified access infrastructure. One network carrying all forms of traffic, be it large enterprise, residential, small business and even 5G wireless. Communications service providers face the [Indiscernible] of rapidly increasing traffic, while trying to lower operating cost and squeeze every last return out of their CapEx investments. Thus, the allure [ph] of one network where formally three existed with the capacity of 32 times existing G-PON infrastructure. All told, the potential exists for nearly one hundred fold improvement in performance. While there are many details about the Verizon opportunity we will not disclose at this time. There is one key aspect I will share. We have been preparing ourselves for dramatic expansion and this represents another example of the exciting future for Calix. And as revolutionary as AXOS is, it was also architected to be evolutionary. As you read in our release last week, Windstream is deploying AXOS G.fast in Lincoln, Nebraska. This demonstrates that AXOS can just as easily snap into an existing infrastructure as it can be deployed in an all new one. Stated simply, our Compass Cloud combined with our AXOS platform enables our customers to win. And to help us capitalize on all this opportunity at the end of June we announced that Michael Weening has joined Calix as our Executive Vice President of Global Sales. Michael has a long history of success in the technology space, and most recently was the Senior Vice President, Global Customer Success and Services for Commercial Business at salesforce.com. We expect Michael will accelerate our growth while building on the best sales team in the industry. As I said at the outset, our focus will remain on driving predictable, profitable growth and I trust it is now becoming clear of the future potential in which we have been investing and that future is happening now. With that, I will open the call for questions. Rob?
Operator: Thank you. [Operator Instructions] Our first question comes from Paul Silverstein with Cowen and Company. Please proceed with your question.
Paul Silverstein: Thanks. Two questions if I may. And so, guys apologize, the new focus is on growth but the basic question will be at what point can you -- at this point of time can you anticipate when we should expect gross margins to return to the higher 40s and to return to a forward trajectory on a consistent basis? And then I've got a follow-up.
William Atkins: Okay, Paul. I'll take this and then Carl will talk a little bit more about what's going to happening in the longer term. As we've noted, we are seeing a miles downward pressure on gross margins as a result of these turnkey network improvement projects that we discussed. Obviously there is a typical noise we get in any quarter in terms of product and customer mix, but that if you look under the hood, year-over-year is the major driver. As we look forward we see that on these specific projects we're going to move out of sort of the initially deployments, sort of getting up the learning curve, invested cost phase if you will and that we see there for profitability starting to get enhance as we move to the latter stages of the projects. So, within these specific project themselves we see some improvement in margins, but then looking forward as we continue to execute right through the end of the year, you're going to see that pressure on gross margin. I don't know Carl, if you want to talk a little sort of deeper about the underline trends that are going on here.
Carl Russo: Well, so just from a watching the industry for a long time Paul, and thinking about growth rate there's a pretty simple rule. As our growth rate accelerates its actually going to put a downward pressure on gross margin. As the growth rates starts to normalized at some new level than I think you'll start to see gross margin start to drift up. But to William's point if I look out into our future and I think about what we might be able to achieve? There are going to be new things coming into the business next year and the year after that that will have, I can't commit downward effect on margins while margin from the rest of the business are going up. So, I think over the next couple of years you'll see a normalized will start to slowly drift to backup. We're not changing our long term one bit, but we are looking forward right now to in fact driving that growth rate.
Paul Silverstein: Carl, I hate to put words in your mouth. I know it's hard enough to guide for 90 days and you were to guide beyond that, but I think you clearly just said that you're expecting accelerating growth next year which will put downward pressure on margins. Better you tell us not that not only margins be weak but gross can be weak as well.
Carl Russo: So, did you say you hated to put words in my mouth?
Paul Silverstein: [Indiscernible]
Carl Russo: So, look, the answer is I would change the word expected from -- we are clearly focused on taking what we've invested in for the past few years and we've been messaging you around AXOS, the platform Compass et cetera being forward looking R&D investment. And saying very clearly, we believe that as those platforms start to hit the market they are going to put us position to grow at a more rapid that we have in the past. The 8% year-over-year, quarter of the 8% year-over-year half, I think our early indicators of that, but I wouldn't use expect, I would simple say that our intent is to drive this growth rate. So, if you want to change or expect to drive than maybe I'll let to put those words in my mouth.
Paul Silverstein: All right. One last question, my apologises to others on the call. On AXOS of the 30 new wins and the 50 total wins, how many of those are new customers to Calix and how many of those would be considered to be two ones or twos?
William Atkins: Obviously, I would be very careful about sharing any of those pieces, but let's go down, Tier 1s or Tier 2s, obviously in this quarter you had two announcements, one from each of those relating to AXOS. There is a percentage of new customers and percentage of existing customers. I would say that those percentages mimic roughly what we do every quarter in new customers and existing customers as well. So, it's still early days. What's exciting is something that is as comprehensively revolutionary as AXOS is seeing the uptick that's set of thing.
Paul Silverstein: I appreciate. I'll pass one. Thanks guys.
Carl Russo: Thanks, Paul.
Operator: Our next question comes from George Notter with Jefferies. Please proceed with your question.
George Notter: Hey, thanks a lot guys. I guess I wanted to go back to the gross margin question. So, my memory serves you guys were thinking that the turnkey professional work was going to wind down, I think as the year progresses and it sounds like now that's not the case. I guess I'm just wondering what’s changed there? And then, I also wanted to ask about your year-on-year growth rate, if I look at year-on-year growth X that turnkey professional services work, I'm wondering what that would look like maybe on a quarter-over-quarter basis or maybe year to-date basis, any sense to that would be great? Thanks guys.
William Atkins: Well, I'll take the first part of that question. In terms of the timing of the turnkey professional services project, I think one of the things that happen is that we saw a lack of recognition of some of the underlying costs and revenue associated with those projects relative to anticipation in Q2, but our goal to complete projects on schedule remains and we're confident we will do so. So, inherently you got a little bit compression of margin going into the second half of the year to reflect that bunching of activity into the second half, that's how we classify that part of your question. I don't Carl, if you want to talk about.
Carl Russo: Well, let me take a long term basis.
William Atkins: Yes.
Carl Russo: If we miss-communicated, my apologise George. The professional services business is growing and will be a continuous part of our business. I think we've make clear that those professional services will be aligned professional services, meaning they will be around our system and services, system and software. But nonetheless we see an increasing desire on the part of our customers to in fact outsource their deployment in turnkey. So, the organization that we're building we expect to be everybody is busy as it is today going forward in 2017, 2018, and beyond. So, that's not going away for sure. We believe we will get better at it as we have in every aspects of the business that we've taken on and that goes back to William's notion of the cost, we think to that nature. So, I expect the margins of how we do that business will go up over time. But we're not getting out of the professional services business. Did I miss-understand your question?
George Notter: Yes. I think maybe you talk about it in the past in terms of that turnkey were just maturing and I guess now in hind side what you meant was just that -- you know, again the idea that you get better out of the cost kind of moderate. Got it. Okay. And how that on the year-on-year growth rates you know X the turnkey professional services work I'm just curious what those might look like?
William Atkins: Yes. We're not going to give you precise numbers, what I would say in terms of what's going on directionally under the hood is that there is a meaningful overlap between the turnkey projects and what would be sort of business as usual purchases. That's the first point that I would make. So, I don’t think it's appropriate to strip turnkey out. Secondly, we do see though as a result of the turnkey project, some spend by these operators increasing over the prior rate and that is because the operators that we're selling to are experiencing increased competitor pressures and have an increase desire to spend on broadband access. And so, they are bringing forward some of those CapEx plans, so we don't see that that underlying trend starting to modulate.
George Notter: Got it. I'm sorry, just to unclear on the growth rate. Is it fair to say that your equipment and I guess it’s a little bit tricky, but if you back out the turnkey work I guess I'm just wondering if you'd see growth there? I understand there's overlap between the two businesses as usual versus turnkey, but I guess I though kind of going in here that the turnkey work would give you guys some competitive advantage in the marketplace and kind of help embrasure yourselves even more of the customer said and drive additional equipment revenue, so I just wondering if that's indeed playing out?
William Atkins: So, when we think turnkey George, so I think I understand the parsing issue here. When we think turnkey project we're not thinking professional services. We're thinking the whole project. So the whole project includes professional services, potentially consulting services, equipment and other thing. So, when we look at turnkey project we think about the whole thing. Now, I think the way you're asking the question is more along the lines of the professional services component of that.
George Notter: Correct.
William Atkins: Am I getting it right?
George Notter: Yes.
William Atkins: Yes. The professional services component of that is not big. This is not a major revenue driver for the business, but turnkey project as a percentage of the total amount of revenue that we're doing are going to go up. But when we think turnkey project, that means the whole thing together, professional services, the equipment et cetera. Does that help?
George Notter: Got it. Sure. Thank you very much.
William Atkins: Sorry about that.
Operator: Our next question comes from Meta Marshall with Morgan Stanley. Please proceed with our question.
Meta Marshall: Yes. Couple of questions. First is just if you could address CAF and now that some of the conversion of the USF to CAF is kind of those rules are complete, whether you're seeing spending happening kind of how would you like? And then just a hit on the turnkeys a little bit more, is it something where you think that this will appeal to kind of 10% of your customers or is there like a level of engagement with customers where you think could eventually serve 50% of your customers with these kind of arrangement or how do you think about sizing that opportunity?
William Atkins: Thanks, Meta. So, let's go back to the CAF fee first, so, the CAF from the price CAF carry that's been out as you know for quite a while and distributed inflowing and people are doing network, and I think we've been communicating that now for a couple of two or three quarters that we're seeing that business. If you're question is more around the rate of return folks, as we message last quarter, we will come back this quarter and potentially be able to give you a little more insight. They are still going back around the feedback loop et cetera and so it is not finalized yet. So stay tune on that part of it. So, did I answer your part?
Meta Marshall: Yes. I guess the first hedge has been to address the idea that coming out of last year you guys said that because of the metrics that were had to be kind of 40% of build out in the first two years that you thought there would be more study kind of demand from those customers having to do those build-out, but I just wanted to get a sense of is that something you're seeing or you starting – are you seeing continuation of lumpy years spend entire around those projects?
William Atkins: So, on the rate of return – on the price CAF carriers you're seeing that begin to flow commensurate with the rates that you're talking about from an ordering standpoint. Okay. On the rate of return carriers we'll still in the process of getting to finalize program, the competitive challenges is just underway, so stay tuned.
Meta Marshall: Got it. Thank you, guys.
William Atkins: Now, on the turnkey piece to your question, so, the professional services business which is to help our customers, transform their network with new deployments. It's something that we've had for quite of few years in the business, but it is starting to grow more dramatically in recent times driven by two factors. One is CAF, but the other is a different piece that we see with our customers which is they are continuing to figure out how to take OpEx out of their business. And they're no longer staff to take on peak workloads. So, actually they're staffing for troughs [ph] and looking for us to take on those things that represent discontinuous things like a build-out. So if you think that one through, it could be that the turnkey services are available and they're actually taken up by the vast majority of our customers big and small over time. But that's over a many year trend of what you think the service provider business model looks like going forward. Does that make sense?
Meta Marshall: Got it. Yes. I know that's helpful. I just wanted to get a sense of whether you thought it was opportunity addressable by those customers and it sounds like eventually perhaps…?
William Atkins: We do. We do and that's what we're preparing ourselves for, but again in an aligned fashion I want to keep emphasizing that point. As long as with Calix equipment or Calix software or Calix systems or Calix's platforms were all yours to go help our customers.
Carl Russo: Great. Thanks.
William Atkins: Thank you.
Operator: [Operator Instructions] Our next question comes from Simon Leopold with Raymond James. Please proceed with our question.
Simon Leopold: Thank you. Carl, I get here your warning on the Verizon issue where in your prepared remarks, but I'm going to ask question any way. So couple of things on the Verizon opportunity, so getting in the lab is obviously the first step. Few things I wanted to understand is one, you've experience integrating into operational support systems with your CenturyLink work. Just trying to understand if that's a hurdle or part of what needs to be accomplished in addition to validating your product performance in order to be able to move ahead with Verizon if there is some OSS work that needs to occur?
Carl Russo: So, the answer is yes, and as you might imagine every customer that we work with big or small have OSS that we have to integrated with. As you might also imagine many of them may have a package that we've already integrated at some other customer win, so make its easy. Verizon has their own systems that you would do that with, so the answer is yes, but we don't see anything untoward actually in our ability to do that.
Simon Leopold: Okay. And Verizon has talked quite a bit about the launch of service in Boston as relatively new initiative building up bios in that city. I'm presuming that your trial activity would be not be finished in time to align with those particular opportunities, is that a fair assessment?
Carl Russo: No comment.
Simon Leopold: No comment. Okay. At least you answered one of the two on Verizon, so I won't push my luck.
Carl Russo: I thought wish you pick them.
Simon Leopold: Can we go for one for three? I wanted to shift to the CAF II.
Carl Russo: Go ahead.
Simon Leopold: Frontier made an interesting comment on its report last night in saying that the requirements under the programs, the federal programs are for 10 meg, but that was not necessarily always going to be the case. That would minimum that at times they would based on business opportunity build something superior to that in order to sell a faster product. So, I'm trying to understand what you see as the mix and I'm not specifically talking about Frontier, but just using that as an example. What kind of speed do you expect to deliver on the CAF II projects you're involved in today, are they mostly fiber-to-the-node type architectures meeting the may of minimum 10 meg or is there opportunity to richer offering and higher speed, any kind of quantification would be helpful? Thanks.
Carl Russo: Well, I don't think I can give you quantification, but I can give you qualification. So, I think Frontier's answer to that that question was actually apt, which is where they see opportunities that they think they'll have a higher demand from subscribers that they build that on top of an essence the funds that they take some CAF. Having said, that, the other piece that you just said which is for the most part, fiber-to-the-node, that is the wildly dominant architecture. But as you also are aware depending upon where you place those nodes, drives what those speeds are. And the other piece is given the different service providers, the maybe selling services over top of their infrastructure that demand even higher speed. So a number of these folks have video services and other offerings that they would do, that might cause them to say you know, we're going to go build our CAF, we can use those moneys and then we'll throw an additional moneys of our own to get to even higher speed. Does that make sense?
Simon Leopold: It does. But I want to clarify that is that CAF will basically fund that they are minimum and if the operator wants to get to 100 megs, they've got to throw in some value for the incremental effort. Is that the way to understand it?
Carl Russo: So the answer is, sure, I mean, CAF is build to fund to the limits that CAF has setup the minimums. And if it cost more than, it's up to the service provider to do so.
Simon Leopold: And just to wrap up on the rate of return folks. What's your best estimate for when we should get an update and progress?
Carl Russo: Apt by the way, I will, in inaptly as I did last quarter say, say come back in 91 days, we'll talk about on the call again and see what we have. I think, we'll have more information next quarter. I don't think you should anticipate more information next quarter meaning the program will have been solidified, but I think we'll have that much more insight.
Simon Leopold: Great. Thank you for taking my questions.
Carl Russo: Thanks, Simon. Appreciate it.
Operator: Our next question comes from Greg Mesniaeff with Drexel Hamilton. Please proceed with your question.
Greg Mesniaeff: Yes. Thanks. You know looking at your SDN product portfolio currently, what would you say is the percentage of your customer based is taking out those products now and where do you see that going in some definable timeframe?
Carl Russo: Yes. So, you SDN portfolio I'm not sure we really have an SDN product portfolio, we refer to it as software defined access and the Compass cloud. Are you asking me about the Compass cloud or about AXOS specifically Greg, so I can answer your question correctly.
Greg Mesniaeff: AXOS specifically.
Carl Russo: Well, so as we spoke the growth rate accelerating just in the last quarter. I see every reason for every single customer that we address deploying AXOS over some period of time. That is certainly our intent. Now, if your question is how many of them will be able to fully utilize all of the functionality that's built in AXOS that's a different question.
Greg Mesniaeff: Okay. It does, if you focus on the later part, when if assuming they would take advantage of the full SDN capability of the platform. When do you see that?
Carl Russo: I think that's a general network transformation, discussion and I think there are some customers out there that are further down the path and others. I think there are some out there that are talking like they're further down the path, but not as we want. So I think it's all over the map and I think its early days yet. But I think you're going to start to see deployment decisions made and this is why we focus on deployment as a company and not trials, because we never talk about – frankly we don’t ever talk about deployment much to the extent that we talk about anything we talk about deployment. Obviously in the Verizon case we spoke about a trial because they came out and spoke about the trial, so we thought we need it to make sure that we spoke to it. But deployments are what matters in this environment, because ones they start to operationalize around the framework and they get use to it that's the framework. So, I think you're dealing with years, not decades, but years and certainly not months.
Greg Mesniaeff: Got you. Just a quick housekeeping question, and giving us the guidance data for the third quarter what was the – does you give OpEx and OpEx range?
Carl Russo: Yes. We did. We gave guidance for OpEx of 48.5 to 49.5, that's taking into account the $4.5 million of settlement proceeds that we'll receive from the Occam litigation. If you were to extract those proceeds and look at it on a more normalized basis that equates to $53 million to $54 million.
Greg Mesniaeff: Got it. Okay, great. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to turn the call back to the Tom Dinges for closing comments.
Tom Dinges: Thank you, operator. Calix will be reporting third quarter fiscal year 2016 results on November 1st after market close. In addition, management will be participating in a number of investor meetings and conferences during the third quarter. Information about these future events is posted on the Events and Presentations page of the Investor Relations section of calix.com. Once again, thank you for your interest in Calix and thank you for joining us today. Good bye for now.
Operator: This concludes today’s teleconference. Thank you for your participation. You may disconnect your lines at this time.